Operator: Good afternoon, and welcome to the Sangamo BioSciences teleconference to discuss First Quarter 2016 Financial Results. This call is being recorded. I will now pass you over to the coordinator of this event, Dr. Elizabeth Wolffe, Vice President of Corporate Communications.
Elizabeth Wolffe: Thank you, Andrea. Good afternoon and thank you for joining Sangamo's management team on our conference call to discuss the company's first quarter 2016 financial results. Also present during this call are several members of Sangamo's senior management, including Edward Lanphier, President and Chief Executive Officer; Ward Wolff, Executive Vice President and Chief Financial Officer; Geoff Nichol, Executive Vice President of Research and Development; and Dale Ando, Vice President of Therapeutic Development and Chief Medical Officer. Following this introduction, Edward will highlight recent activities and the significant events from the past quarter. Ward will then briefly review first quarter financial results, as well as our financial guidance for 2016. Geoff will provide an update on our ZFP Therapeutic programs. And finally, Edward will update you on our goals for the rest of 2016 and beyond. Following that, we will open up the call for questions. As we begin, I'd like to remind everyone the projections and forward-looking statements what we discuss during this conference call are based upon the information that we currently have available. This information will likely change overtime. By discussing our current perception of the market and the future performance of Sangamo with you today, we are not undertaking an obligation to provide updates in the future. Actual results may differ substantially from what we discuss today, and no one should assume at a later date that our comments from today are still valid. We alert you to be aware of risks that are detailed in documents with the company files with the Securities and Exchange Commission, specifically our quarterly reports on Form 10-Q and our annual report on Form 10-K. These documents include important factors that could cause the actual results of the company's operations to differ materially from those contained in our projections or forward-looking statements. Now, I'd like to turn the call over to Edward.
Edward Lanphier: Thank you, Liz, and thank you all for joining us for our conference call to discuss our first quarter results for 2016, as well as our progress and plans for the development of our ZFP Therapeutic's pipeline. 2016 promises to be a pivotal year for Sangamo as we initiate the first two clinical trials based upon our highly leverageable in Vivo Protein Replacement Platform or IVPRP in the next few months and filed six additional INDs as the year enfolds. As you might imagine, with all of these activities in play, it's been a very busy and exciting quarter for the company and we are making steady progress in all of our ZFP Therapeutic programs. Let me provide some specific details. We have completed all of the major tasks necessary to initiate the Phase 1, 2 clinical trial of our IVPRP-based hemophilia B program. We have made great progress with our lead clinical site at the City of Hope and are on track to dose the first patient on this trial in June. Speaking of this study, we received an unexpected but notable endorsement of our IVPRP approach for hemophilia in a recent review in the New England Journal of Medicine. This was all the more gratifying as the article was co-authored by Dr. Amit Nathwani, Professor in Department of Hematology, University College of London, a key opinion leader in the space and a well respected pioneer of conventional AAV based team therapy for the treatment of hemophilia. In fact, it was Dr. Nathwani's Factor VIII program for hemophilia A that BioMarin in-licensed and on which they recently reported data. Dr. Nathwani provided an excellent overview of our IVPRP based approach to produce therapeutic Factor IX for hemophilia B and noted that "these findings are exciting and suggest an improved Augmentarium for affecting the safe long term expression of a variety of secretive proteins from the liver for permanent functional cures for a variety of genetic and non-genetic diseases", very nicely said. And speaking of additional applications of our IVPRP, in March we presented very exciting pre-clinical data from our MPS I and MPS II programs at the world symposium 2016 meeting. This conference is a key form for the lysosomal storage disorder or LSD field featuring the latest information from basic science, translational research and clinical trials for LSDs and attracting scientist and physicians from all over the world. In mouse models of both MPS I and MPS II our daily demonstrated a statically significant increase in active human enzyme in the liver, the circulation and in peripheral tissue such as the spleen, heart, lung and muscle in treated animals. Moreover, this increase in active enzyme led to a reduction of glycosaminoglycans or GAGs in the tissues and urine of the animals. GAGs are the waste products that accumulate in the cells in these diseases. Besides the impressive data demonstrating the production of enzymatic reactive therapeutic proteins and our uptick in the secondary tissues, our scientists and collaborators at the University of Pennsylvania were surprised but very pleased to also see statistically significant levels of the enzyme in the brain and evidence of positive effects on cognitive function in treated mice. As you are aware, our ZFP Therapeutics for our IVPRP platform are administered as a single intravenous infusion and these data strongly suggest that the presence of constant levels in the blood stream can allow the enzyme to cross the blood brain barrier. As you all know, in early February we received FDA clearance of our IND to initiate a Phase 1/2 trial of SB-318 the MPS I or Hurler disease, our second therapeutic program based upon IVPRP and the first lysosomal storage disorder program. As previously discussed, we are on track to initiate that trial in mid-2016. I've asked Geoff to provide more detail on these data and our clinical trials later in the call. Clinical data from our ongoing SB-728-1101 study were presented at CROI in early March by our collaborator Dr. Rafick-Pierre Sékaly. He described immunologic analysis that suggests a number of factors that best predict post-treatment viral load control and which may provide a model mechanism of action for SB-728-T and help identify HIV infected individuals who will benefit most from this novel immune based therapy. We have enrolled and treated an additional five subjects into Cohort 3 prime of the 1101 trial giving us a total of eight subjects. We expect to present these data as well as data from our investigator sponsored hematopoietic stem cell trial in HIV, which is ongoing at the City of Hope later this year or early next year. As we have stated before with positive clinical data we plan to seek a partner for this program for pivotal studies. Once again we have a strong showing at the Annual Meeting of the American Society of Gene and Cell Therapy or ASGCT which will be held in Washington D.C. and begins later this week. ASGCT is the premier conference for gene and cell therapies and we and our collaborators have 17 abstracts accepted for presentation. In addition, two members of our scientific team Dr. Michael Holmes and Dr. Thomas Wechsler have been invited to speak in a special symposium on Concepts and Clinical Applications of Genome Editing and a symposium entitled Targeting the Liver with Gene and Cell Therapies. And our Chief Medical Officer, Dale Ando, an expert in this area is an invited speaker in a symposium titled Navigating the New Rack Review for Gene Therapy. I should also mention that another of our Scientist Dr. Fyodor Urnov has been invited to present the John McNeish Memorial Lecture in a plenary session of the International Society for Stem Cell Research Meeting in July. He has been asked to summarize our work on Genome Editing in Stem Cells. This is a testament to the fact that at our foundation is the best science in the world on Genome Editing. And that we have more experience than anyone in navigating the scientific, regulatory and clinical space. I'm very pleased that my colleagues and our collaborators continue to be recognized for this by their peers. Last but not least, I would like to take this opportunity to introduce Dr. Matthew Spear, our new Vice President and Head of Clinical Development. Matt comes to us with more than 20 years of experience in all stages of biopharmaceutical research and development and has lead the clinical development of over 15 therapeutic products. Most recently he served as a Vice President in Clinical Development at Insight Cooperation. Matt will be responsible for the day-to-day management of our clinical development team and clinical trials and we are very pleased to welcome him to Sangamo. He is already a very busy man. And with that, I'd like to introduce Ward who will update you on our financial results for the quarter and our guidance for the rest of 2016. Ward?
Ward Wolff: Thank you, Edward, and good afternoon everyone. As you know after the close of the market today, we released our financial results for the first quarter ended March 31, 2016 and I am pleased to review the highlights of those results with you now. Revenues in the first quarter of 2016 were $3.9 million compared to $13.5 million for the same period in 2015. First quarter 2016 revenues comprise revenue from Sangamo's collaboration agreements with Biogen and Shire enabling technology agreements and approximately 200,000 of revenue from research grants. The decrease in collaboration agreement revenues was primarily due to the amendment of our collaboration and licensing agreement with Shire in September 2015, which return their rights to the hemophilia program to Sangamo, as well as the decrease in revenue under the company's collaboration agreement with Sigma. In the first quarter of 2016, Sangamo recognized $2.0 million of revenues related to research services performed under the collaboration agreement with Biogen and 400,000 of revenues related to research services performed under the collaboration agreement with Shire. In addition pursuant to the agreements entered into with Shire in January 2012 and Biogen in January 2014, Sangamo received upfront payment of $13 million and $20 million respectively. The payment for Shire's been recognized on a straight-line amortization basis over the initial 6 year research term. Beginning in January 2016, the payment for Biogen is been recognized on a straight-line amortization basis over approximately 42-months which reflects the revised service period related to our deliverables under the agreement with Biogen. Sangamo recognized $0.5 million of the Shire upfront payment and 600,000 of the Biogen upfront payment as revenue for the first quarter of 2016. Total operating expenses for the first quarter of 2016 were $20.6 million, compared to $19.7 million for the same period in 2015. Research and development expenses were $15.3 million in the first quarter of 2016, compared to $15 million for the first quarter of 2015. R&D expenses were comprised to manufacturing expenses, research expenses associated with our clinical and preclinical programs, and personnel-related expenses, including stock-based compensation. General and administrative expenses were $5.4 million in the first quarter of 2016, compared to $4.7 million for the same period in 2015. Non-cash stock-based compensation expense was $3.2 million for the quarter, with approximately $1.9 million in research and development and $1.3 million in general and administrative. For the first quarter of 2016, the company reported a consolidated net loss of $16.5 million, or $0.23 per share, compared to a net loss of $5.3 million, or $0.08 per share, for the first quarter of 2015. Turning to the balance sheet, Sangamo entered the first quarter of 2016 with $189 million in cash, cash equivalents, short-term investments, and interest receivables. Regarding our financial guidance for 2016, we reiterate our guidance from our previous earnings call. We expect to end the year with at least $150 million in cash and equivalent and we expect to incur operating expenses of $85 million to $95 million for the full year of 2016. We expect total revenues for 2016 to be in the range of $20 million to $25 million. Revenues include partial recognition of upfront payments and reimbursement of research services from existing collaborations. The year-end cash guidance is inclusive of research funding from existing collaborations, as well as funding from grants, but exclusive of any new funding from the collaboration, partnership, equity financings or other new sources. Thank you. And I will now turn the call back over to Edward.
Edward Lanphier: Thanks Ward. As you have heard, we maintain a strong cash position which will enable us to accomplish all of our near and mid-term goals and the value creating data catalysts we have outlined for our therapeutic pipeline. We are on track to achieve these goals and end 2016 with over $150 million in cash. I'd ask Geoff to give you more information about the status of our pipeline and our recent progress in our IVPRP programs. Geoff?
Geoffrey Nichol: Thank you, Edward. As most of you are aware, IVRPR approach enables us to treat the monogenic disease such as hemophilia or lysosomal storage disorder using ZFNs to target a single addressing the genome of a patient liver at a circled safe harbor side into which we can add a therapeutically relevant replacement gene. The aim is to allow the patient to continuously produce their own therapeutic protein to replace the defective enzymal protein that gives rise to their symptoms. Thus, with a single treatment we have the flexibility to develop ZFP therapeutics to a range of genetic diseases currently being treated using protein or enzyme replacement therapy or ERT and eliminate the need for repeated protein infusions. We chose the albumin gene as our safe harbor, as it is very highly expressed. Albumin being the most abundant protein found in the serum. Adults produce larger amount of albumin about 80 grams per week. It’s safe to co-op the very small percentage of its expression we need to produce therapeutic quantities of a replacement protein. And its highly tissue specific as LVI is made exclusively in the liver. As you heard from Edward, we are in a process of opening Phase I, II clinical trials for our IVPRP programs in both hemophilia B and our first lysosomal storage disorder indication, mucopolysaccharidosis is one or MPS I. MPS I is caused by mutations in the gene in coding the alpha-L-iduronidase enzyme or IDUA, which results as a deficiency of that enzyme in old tissues. Normally IDUA is present in a cell in a structure known as the lysosome, which is like the recycling center of the cell. The enzyme is required to breakdown complex sugar chains called glycosaminoglycans or GAGS, which are produced in most tissues. The inability to degrade GAGS leads to their accumulation within the lysosomes in cells throughout the body, resulting in multi-organ dysfunction and damage in patients with MPS I. Depending on the severity of the mutations and degree of residual enzyme activity, affected individuals may develop enlarged joint stiffness, skeletal deformities, corneal clouding, hearing loss and mental retardation. There are three forms of MPS I, in order of increasing severity, Scheie, Hurler-Scheie and Hurler syndromes. The current therapies for individuals with MPS I include hematopoietic stem cell transplantation or HSCT for those with the most severe form of the disease. However, the reported mortality rate after HSCT is about 15% and the survival rate with successful engraftment is about 50-50. Most patients with milder forms of the disease receive weekly enzyme replacement therapy or ERT infusions. One potential problem with ERT for MPS I, is that enzyme infusions take on average four to six hours, but because of the very short half life the protein in the serum, the replacement enzyme cannot be detected in the circulation within a few hours after completing the treatment. In contrast, our preclinical data demonstrate sustained production of IDUA from the albumin locus. We presented data of the WORLD Symposium demonstrating beneficial effects in animal models of MPS I and MPS II or Hunter syndrome. In these models, we demonstrated that throughout the 120 day study, the IVPRP approach provided stable expression of functionally active versions of the proteins, but defective in both disorders. Second, these functional enzymes were secreted from the liver into the circulation and taken up an old secondary tissues tested, including the spleen, heart, muscle and brain. In treated animals, we also observed statistically significant decreases in GAG concentrations in the urine, liver and most secondary tissues to levels approaching those seen in healthy animals. Interestingly, in animal models of disease for both Hunter and Hurler syndrome we demonstrated statistically significant therapeutic benefit in cognitive function suggesting that continuous production of the enzyme may enable it cross the blood brain barrier. We assessed cognitive functions using the Barnes Maze behavioral test, that assesses the animal’s abilities to learn and remember the location of a hole and a platform, using fixed visual queues located around the testing area. The animals were tested four months after receiving a single treatment with the ZFP therapeutic. The treated MPS I and MPS II mice performed this task as well, as wild type mice, and significantly better than untreated mice. Supporting these data, increased levels of the IDUA and IDS enzymes were detected in the brain tissue of treated animals. The data demonstrates that therapeutic IDUA and IDS produced in the liver could be transported across the blood brain barrier at levels that were able to affect meaningful change in cognitive function. Turning to our two open INDs, the Phase I, II clinical trials for Factor IX and MPS I are both open-label dose-escalation studies in adult subjects. Each study has three dose cohorts, each of two subjects with a waiting period of one month between each subject within a cohort and roughly two months between dose cohorts, while the data reviewed by a safety monitoring committee to determine that it is safe to proceed to the next higher dose. At the optimal dose, we will recruit additional subjects for a total of 9 to 12 subjects in each trial. In both trials, the primary objective will be to evaluate safety and tolerability. However, as we will be treating subjects who have the disease, we will also closely monitor them for signs of efficacy. In the case of the hemophilia B study, we will look at circulating levels of Factor IX, use of replacement Factor IX, as well as frequency and severity of bleeding episodes and clotting activities such as the activated partial thromboplastin time or APTT. For MPS I, in addition to the change from baseline in IDUA activity in circulating while blood cells, we will also monitor GAG levels in urine, the six-minute walk test, forced vital capacity which is a measure of lung function, joint range of motion and liver and spleen volume. For safety, we will closely monitor subjects for possible immune responses to AAV6, our delivery vector, and if necessary administer steroids to inhibit this response. Our Factor IX clinical study, which represents the first human trial of vivo genome editing and our first IVPRP based ZFP therapeutic program is progressing on pace. The initial study site at the City of Hope is opening and we are on track to treat our first subjects later this quarter. We are also setting up several additional clinical trial sites and have an active outreach program to raise awareness of the trial with physicians and patients. Given the intervals between subjects, we anticipate having initial data for all subjects around mid-2017. We will provide more details as to the timing of earlier data presentation from this study, as we get further into the enrollment of subjects. We're also in the process of initiating our Phase I, II clinical trial for MPS I at the principal study site at the University of Minnesota, which is a major center for the treatment MPS disorders. We are on-track to begin enrolling subjects in the mid of 2016. So we are very busy with our Factor IX and MPS programs, as well as advancing IND applications for MPS II and beta-thalassemia this quarter and four more filings in the next seven months for our Factor VII, Gaucher and Fabry programs, and our sickle cell disease program with Biogen. I look forward to keeping you updated on all of these exciting programs as we advance into and through initial clinical studies. And now, let me pass you back to Edward.
Edward Lanphier: Thanks, Geoff. As you have just heard from Geoff, we are entering into a very exciting period for the company with the initiation of two new clinical trials of our in vivo genome editing platform and we are working hard to continue to advance our pipeline leveraging this highly disruptive approach. We remain on-track with our previous guidance for our other programs and the respective milestones, which include the filing of an IND application for our MPS II program in this quarter and for the Factor VII Gaucher and Fabry in the second half of this year. In addition, our collaboration with Biogen continues to go forward and we intend to file an IND application later this quarter for our collaborative beta-thalassemia program. We expect that the IND application for sickle cell disease will be filed by Biogen in the second half of 2016. We are also in good financial position to accomplish all of this and remain on track to end 2016 with more than a $150 million in cash. To state the obvious, clinical execution is a key value driver for us over the next year to 18 months and I can assure you that our team is focused like a laser beam on all of the tasks that drive clinical success. We look forward to keeping you updated on our progress at the following investor conferences and scientific meetings, including the Deutsche Bank Healthcare Conference later this week at ASGCT, which is also to be held later this week and the Jefferies Healthcare Conference in June. I should also note that our Annual meeting of shareholders will be held here at the company headquarters on June 14th and invite you all to attend. This completes our prepared comments. I would now like to open up the call for your questions.
Operator: [Operator Instructions] Our first question comes from the line of Charles Duncan with Piper Jaffray. Your line is open.
Charles Duncan: Thanks for taking the questions. I had just a couple. Edward, just did a great job outlining the expectations for the hemophilia B clinical program. I'm wondering if you could do similarly with MPS I or is that a little bit harder to project in terms of see first cohorts that you may see the first TB activity data or any sense of efficacy out of MPS I?
Edward Lanphier: Sure. Geoff, you want to maybe just come back to what you've discussed in terms of clinical end points and what we'll be looking for in that trial?
Geoffrey Nichol: Sure Charles. In terms of the underlying sort of pace of those studies, they have the same design - the same interval between patients so we anticipate the same general approach. The MPS study certainly present the opportunity to look at the augmentation of circulating enzyme primarily by measuring it in the white cells, as well as by looking at some of the many sort of clinical outcomes that we can see in those patients, and including the measure of the glycosaminoglycans in the urine. What I just to sort of paint the bigger picture, what we're going to do is evaluate those measures in the subjects while they continue to take the ERT and if we can see clear additive effect, we will then move those programs onto a withdrawal strategy to see whether the underlying production from the liver of those enzymes is able to continue to control the disease. But we expect that those will be sensitive to the effective generation of new enzyme from a liver.
Charles Duncan: It sounds pretty interesting. It sounds like each patient could be their own control and therefore give you a fair amount of, I guess, discriminative, hard to see any changes even with a few patients.
Geoffrey Nichol: That would certainly be ideal. To be fair it's a little clearer with Factor IX, it's a simple measurement that is the only - that's the protein that we're trying to produce. But yes exactly, each patient in both of these studies really acts significantly as their own control.
Charles Duncan: Yes. And then if I could just ask one question in terms of the recent preclinical results in MPS I and II, we were impressed with those from the mirroring model. But do you anticipate being able to present any results from other preclinical studies such as in a non-human primate prior to seeing some of the trial progress with 318 perhaps later this year or next year?
Edward Lanphier: Well, let Geoff or Mike Holmes who's here comment further if need be but there really aren't any other disease models for MPS I and MPS II beyond these mouse models. So what we'll do is use the NHPs as a - for dosing and toxicity, and toxicology but primarily the model systems were done in the rodents Geoff or Mike.
Geoffrey Nichol: Yes, I mean the only thing I would add Charles is that, as we've gone through these studies, we will continue - we continue to evaluate them, look at histology and various other things then it's possible that as that data accumulates we may present that at a future time. But that's pretty much the basis for our program is the success we're seeing in the model data.
Charles Duncan: And then final question is regarding the collaboration with Biogen. Edward, I'm wondering if you could update us on that. It seems like positive that they are planning on filing an IND soon per beta thal. And I'm wondering if there have been any changes in the level of engagement or projections on timelines with Biogen in that collaboration?
Edward Lanphier: Well certainly we'll repeat what we just said in the script that our plan is that we will file the beta-thal IND first half of this year and Biogen is previously guided to filing the sickle cell IND in the second half of the year. There's no question that we read the same things you all read in terms of Biogen's continued focus in the CNS space and that's been - we've seen the visibility of that. But in terms of the programs, the data we've generated our enthusiasm for those programs nothing's really changed there.
Charles Duncan: And the interaction with the team over Biogen, I mean I know it's hard to quantify, but do you feel like, if they were to sell off some of their assets in the similar area that your program would be perhaps bundle with that or how do you -
Edward Lanphier: Charles what's the expression they use in various government things, you know that calls for speculation or - so you know I really don't want to speculate on what Biogen may or may not do as they develop and evolve their strategy. We work on - focus on the things that we can control which is the development of what we think is an incredibly important and differentiated therapeutic program.
Charles Duncan: Okay, that's helpful. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Whitney Ijem with JPMorgan. Your line is open.
Whitney Ijem: Thanks for taking the questions. The first one, I guess I just wanted to kind of circle back with the BioMarin data that you mentioned. I'm just curious if the very early and initial data that we've seen from them has changed how you guys are thinking about target levels of factor expression or kind of what you had hoped for at the highest dose in your studies?
Edward Lanphier: Well, I think the BioMarin data and again Mike and Dale and Geoff are here, and they can certainly add more. But I think the BioMarin data we found to be very impressive, very important data. I will say that it's highly consistent with what we have been aiming towards and what we think is very much a reasonable kind of therapeutic target. And we'll have some preliminary thoughts and data presentations next week or later this week, but Mike we're focused on presenting kind of a comprehensive particularly Factor VIII data in July what's that meeting.
Mike Holmes: Yes Edward, that's the World Federation of Hemophilia. There's a meeting at the end of July and will be specifically presenting on July 26 and giving a conference of update on hemophilia and specifically our Factor VIII program.
Edward Lanphier: And I think that's probably what I highlighted is the technical platform presentation at ASGCT and then I think a good program update in the context of your question of the BioMarin data in the end of July.
Whitney Ijem: I got it. I'll back in queue. Thanks.
Operator: Thank you. Our next question comes from the line of Jim Birchenough with Wells Fargo Securities. Your line is open.
Yanan Zhu: This is actually Yanan Zhu in for Jim. So a couple of questions on the hemophilia B trial design, the low dose of five times 10 to the 12 vector copy per kilogram, could you clarify whether that is a per vector or it's the total of the three vectors used for infusion?
Edward Lanphier: Right, it's the total of the three vectors that we're infusing.
Yanan Zhu: I see. I think I saw the non-human primate data being -- that was presented at the RAC meeting. There I saw the low dose is 1.5 times 10 to the 13. Is there, I guess, the low dose for the clinical trial? Do you expect any efficacy from the current -- this low dose and could you compare related to the non-human primate low dose data?
Edward Lanphier: Well I'll ask Mike or Geoff to comment on the dose element of your question. As you know, we're doing three doses a low dose what we’ve perceive to be a low dose, what we perceive to be a medium dose and then what we perceive to be is the therapeutic or optimal therapeutic dose in the study, it's fairly classic dose escalation. I don't think we'll go into a doze that we don't think has the potential to be therapeutically relevant, but I think the goal here is first time in man is to primarily look at safety and tolerability of the approach. So I'm not from a investor perspective guiding to this for efficacy and perhaps maybe not even the second dose cohort. It's really in the third dose cohort where we are focused on looking at the highest level or the level of efficiency that we're trying to achieve. Mike or Geoff, do you want to comment on the NHP data to dose or where we are on starting dose?
Geoffrey Nichol: Certainly, its Geoff here, certainly what we're striving to do is look at the NHP data and come up with the dose, a starting dose in the clinical study that to Edward's point offers on the one hand a low enough dose to able to start a study with reasonable safety, but on the other hand offer some opportunity for efficacy and looking at the NHP data overall and Mike may want to comment on this you know, it’s clearly a threshold, it is close to the threshold active dose that we saw in the non-human primate study. So that's the rationale, obviously it remains to be seen what the effect in humans is going to be compared with the effect in non-human primates ,and I think coming back to Edward's point about speculation let's see what we see in the clinical trials, but even if it is - even if there is a close relationship between NHP dose and human dose, we may see that a lowest dose obviously, but let's be a little more circumspect and expect to see it at the second or the third dose as being much more likely.
Yanan Zhu: Great. Another question is in the conventional AAV, gene therapy for hemophilia, in those approaches anti-capsid T-cell response has been observed, which led to the liver enzyme elevation. In your gene therapy approach could you comment on the likelihood of that happening? One thing is you do have three vectors, so the number of vectors is greater per infusion. But could you just in general comment on the possibility of inducing T-cells responses?
Geoffrey Nichol: Yes, certainly. It's the total vector - we think what's important is the total vector dose which remains in the same zone as we have seen for example with recent BioMarin data. If you actually look at their dose range, it's pretty much the same dose ranges, we are putting forward. And as best we understand it, these LFT changes are driven by just the total amount of capsid, and the capsid is the same on every virion, no matter what's it got sort of inside in its DNA. So we think that it should be driven by the total vector dose whether there's an affected serotype on this is also another area of speculation simply it remains to be seen and as we've described before, we're going to be taking as with all of the trials in this area, a fairly close watch on the patients to make sure that their LFTs are well monitored and will treat steroids currently we're saying we'll follow the approach of actually treating these events when they occur. But as you have certainly heard from BioMarin, there is always the option of going earlier in order to essentially prophylaxis against that possibility and obviously that will depend on the way the study actually unfolds.
Yanan Zhu: Got it. That's very helpful. I have a last question on, one comment that's made by Dr. Nathwani in his New England Journal review article. He mentioned that polymorphism of albumin gene may prevent this approach to be used universally. Do you have some sense of how they extend that polymorphism and how it impacts the use of the product candidate?
Edward Lanphier: Well I think in any Genome Editing approach, you select the target sequence and given the specificity of the Zinc Finger approach, we think we have great precision around that target. To the extent that there is a polymorphism or in a very, very well element of population, then you're absolutely right, given the specificity of our approach, then it will not be affected, but we think that's an extraordinarily rare and true in the hypothetical, extraordinarily in the practical.
Yanan Zhu: Got it. Thank you very much.
Operator: [Operator Instructions] Our next question comes from the line of Gena Wang with Jefferies. Your line is open.
Unidentified Analyst: This is [indiscernible] for Gena. Just first one clarification question, so for the hemophilia B Phase1/2 trial, so I was just going to apply prophylactic steroid use or you thought you mentioned that you’re going to use that but will that prophylactic in the protocol?
Edward Lanphier: Without being dismissed Geoff, do you want to repeat what you just said.
Geoffrey Nichol: Yes, so just to clarify, the protocol as written at present is to not use prophylactic steroids to monitor patients closely, and use steroids as necessary we think, that's still the rational approach given that this has got Zinc Fingers and various other reagents in it that are not typically present in more standard gene therapy approaches. But I think as I signaled, we will have a relatively lower to moving towards the use of prophylactic steroid approach which I think we've always said the field is likely to move to and I think we are seeing that is indeed coming to pass.
Unidentified Analyst: Okay. Got it. And then my second question is about the new IND. So I just wonder especially for the two - in the first half of the year, have you guys passed through the RAC Meeting, if not so when would that be scheduled?
Edward Lanphier: It’s a timely question, [indiscernible] thank you. As you may have noted, the NIH recently put out new guidelines relative to the Recombinant Advisory Committee. And so instead of in the past filing with the RAC, RAC determining whether they wanted to have a public review of the protocol or not, one files an IND, one then goes to the IRB of the given institution, and that IRB makes a determination about whether they need RAC or want RAC review. So, it’s a new approach, it's a new protocol and I guess at this point, you'll just have to stay tuned and we'll see what the - our collaborative institutions want our need for their IRBs.
Unidentified Analyst: Okay. All right. Thank you so much.
Operator: Thank you. This concludes today's Q&A session. I would now like to turn the call back over to Mr. Lanphier for any closing remarks.
Edward Lanphier: Great. Thank you. We'd like to thank you for joining us. And we look forward to speaking with you again when we release our second quarter 2016 financial information. We'll be available later today if there are any follow-up questions. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone, have a great day.